Operator: Ladies and gentlemen, thank you for standing by. And welcome to Jabil's First Quarter Fiscal Year 2016 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn today’s call over to Beth Walters, Senior Vice President of Communications and Investor Relations. Please go ahead.
Beth Walters: Thank you very much. Welcome to our first quarter of 2016 earnings call. Joining me today on the call are Chief Executive Officer, Mark Mondello; and our Chief Financial Officer, Forbes Alexander. This call is being recorded and will be posted for audio playback on the Jabil website at jabil.com in the Investors section. Our first quarter press release, slides and corresponding webcast links are also available on our website. In these materials, you will find the financial information that we will cover during this conference call. We ask that you follow our presentation with the slides on the website, beginning with Slide 2, our forward-looking statement. During this conference call, we will be making forward-looking statements, including those regarding the anticipated outlook for our business, our currently expected second quarter of fiscal 2016 net revenue and earnings results, other financial performance for the company and our long-term outlook for the company. These statements are based on current expectations, forecasts and assumptions involving risks and uncertainties that could cause actual outcomes and results to differ materially. An extensive list of these risks and uncertainties are identified in our Annual Report on Form 10-K for the fiscal year ended August 31, 2015, on subsequent reports on Form 10-Q and Form 8-K and our other securities filings. Jabil disclaims any intention or obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. Today Forbes will begin our call with fiscal 2016 first quarter results and then guidance for our fiscal 2016 second quarter. Mark will follow with his comments and some details on our outlook for the business in fiscal 2016. And following these opening remarks, we will open it up to questions from call attendees for questions. I would now turn the call over to Forbes.
Forbes Alexander: Thank you, Beth. Good afternoon, everyone. I’d like to ask you to turn to Slide 3, where I’ll review our first quarter results. Net revenue for our first quarter was $5.2 billion, an increase of 14% on a year-over-year basis. GAAP operating income was $215 million, while GAAP net income was $132 million. GAAP net diluted earnings per share were $0.68 for the quarter. Core operating income, excluding amortization of intangibles, stock-based compensation and restructuring costs was $248 million, and represented 4.8% of revenue. Core diluted earnings per share was $0.85. Now turning to Slide 4 for our segment discussion. In the first quarter revenue for our diversified manufacturing services segment was approximately $2.5 billion, an increase of 30% on a year-over-year basis representing 48% of total company revenue. Our core operating margin was 6.7% reflective of strong execution in the midst of several complex ramps. Our Electronics Manufacturing Services segment revenue was $2.7 billion, an increase of 3% on a year-over-year basis representing 52% of total company revenue. Core operating income for this segment was also solid at 3.1% as a result of broad strength across the segment. I would now like to review some of our balance sheet metrics on Slide 5. We ended the quarter with cash balances of approximately $1.1 billion. Cash flow from operations for the quarter was $145 million. Net capital expenditures was expected in total $249 million. Capital expenditures for the full fiscal year remained in the range of $800 million to $1 billion as we continue to invest for future growth opportunities. Our core EBITDA for the quarter was $402 million representing 7.7% of revenue, an increase of 120 basis points over the same period last year. Our core return on invested capital for the quarter was 24%, a 5% improvement on a year-over-year basis. Also during the quarter we repurchased approximately 2.8 million shares, at a total cost of $55 million, thereby exhausting our current share repurchase authorization. In addition during the first fiscal quarter, I am pleased to note that we acquired Shemer. The addition of Shemer's 30 years of experience expand our capabilities and footprint in Israel bringing expertise and design, basic to highly complex mechanical fabrication, integration of full systems level assembly, and test and fulfillment activity supporting leading capital equipment and large format print brands with sophisticated chassis, enclosures and motion systems. I'd now like to discuss our business outlook for our second fiscal quarter. And note that Mark will follow up some discussion around the full fiscal year in his prepared remarks. We expect revenue in the second quarter of 2016 to be in the range of $4.4 billion to $4.7 billion, an increase of 6% at this midpoint on a year-over-year basis, and reflective of seasonal consumer demand on a sequential basis. Core operating income is estimated to be in the range of $170 million to $210 million and core earnings per share are estimated to be in the range of $0.54 to $0.70 per diluted share. GAAP earnings per share is expected to be in the range of $0.37 to $0.55 per diluted share, this based upon a diluted share account of 195 million shares. And based upon the current estimated mix of earnings, the tax rate for the full fiscal year remains estimated at 24%. Finally, turning to our segment outlook, I’d ask you to turn to Slide 8. The Diversified Manufacturing Services segment is expected to increase approximately 14% on a year-over-year basis, with revenues estimated to be approximately $1.9 billion. The Electronics Manufacturing Services segment is expected to remain consistent on a year-over-year basis with the revenues estimated to be approximately $2.6 billion. I’d now like to hand the call over to Mark.
Mark Mondello: Thanks, Forbes. Good afternoon. I appreciate everyone taking time to join our call today. I want to kick-off today’s call offering a special thanks to our team. They delivered a record quarter in terms of revenue and income. This on the heels of a strong fiscal year 2015. For me, it’s truly an honor to lead a team that's just so capable. As Forbes highlighted in his prepared remarks, revenue posted for the first quarter reflected solid double-digit growth, core earnings per share exceeded the midpoint of our guidance by $0.05. This was driven largely by exceptional execution and outstanding productivity, a great accomplishment from our EMS segment and our DMS segment. I’d now like to offer a few thoughts on what we see driving our business for the balance of the year and into fiscal year 2017. Our Nypro Healthcare business continues to benefit from broad disruption in the areas of med device, patient diagnostics and big pharma. Combine this with rapid advancements in wearable technologies and data analytics and you have a suite of catalysts for growth. Our packaging business launched its smart packaging theme this past quarter at the Pack Expo Show in Los Vegas. The reception exceeded expectations. Packaging team continues to leverage process engineering and cross functional solution selling as they lean into growth opportunities. The integration of our Plasticos acquisition is ahead of plan, which allows us accelerated access to the European marketplace. Wrapping up my comments specific to DMS, we’re projecting OpEx investments during Q3 and Q4 as we engage in various program ramps. We’re fortunate to once again have wonderful opportunities for investment within our DMS segment as we think about our business beyond this fiscal year. Moving on to our EMS segment, from a revenue perspective I anticipate that the back half of the fiscal year will once again be an EMS story. The confidence I have in our EMS segment is underpinned by transformative proof points currently in play. A few examples would be our transportation and automotive business which is currently leveraging our optics capability. In addition, the automotive team is the beneficiary of vehicle roadmaps that now incorporate a higher degree of connectivity and a dramatic increase in electronic content. Jabil Stack Velocity business is in early days, but ramping beautifully. Quite simply the service offering enables a completely new value proposition for Jabil. Our Stack Velocity team serves traditional enterprise and infrastructure OEMs as they transition to cloud-based solutions. Yet another proof point is evident within our connected home business. This market is rapidly converging on the combination of connectivity, low cost sensors and predictive analytics. The world is driving greater bandwidth into the home and into the office. From faster data streaming that support high-definition video, to improved product intelligence, to endless selections of on-demand, to new market applications. Lastly, we’re going to see an improved level of contribution from our capital equipment business. This business cuts across various markets such as semi-cap, advance test and industrial. I believe we’ll see an increase in market share as our team weaves together complimentary solutions from three strategic acquisitions we recently closed. These proof points illustrate the intimate relationship we’ve created inside of Jabil, between our technical capabilities, our central services and our commercial segments. This is a true differentiator relative to many others. There is also a clear advancement in our go-to-market approach. We seek opportunities with new customers and look to expand share of wallet within our existing partnerships by listening first and continually refining our services. Our customers need to move a speed, they require a trusted technology partner that helps them keep pace. Keep pace with ever increasing rate of change. Our sales pipeline is clear evidence that the market has an attraction to Jabil’s innovative solutions in this digital environment. Closing out my prepared comments, a few final thoughts. There are number of moving parts at the movement. The goodness for Jabil is one of our core strengths is our ability to adapt. Continually adapt as dictated by the environment. We’ve a tremendous track record of modifying and modifying quickly. Jabil has a proven and tested history when it comes to navigating change both in the macro and in the micro. So as you sit today, an approximate outlook for the year is core earnings per share of $2.65, a 28% increase year-on-year. Free cash flow of approximately $400 million, a 45% increase year-on-year and core ROIC of approximately 20%, a 200 basis points improvement year-on-year. To help shape your models for the year, I believe core operating margins for fiscal Q4 will be in the range of 4% with the strong showing from our EMS segment. I believe core operating margins for fiscal Q3 will be in the neighborhood of 3.5%. As you think about our business, let’s keep in mind that many times the sensitivity in our results has a greater link to where we might play in the overall supply chain than the impact of an isolated look at overall product demand. With that, I would like to wish everyone on the call a safe and Happy Holidays season, thank you. We can now open the line for questions.
Operator: [Operator Instructions] 
Beth Walters: Operator, I’d like to remind everyone before we begin the Q&A session that in customary fashion, we will not be able to address any customer or product specific questions and we ask for your cooperation. Thank you.
Operator: Your first question comes from the line of Steve Milunovich of UBS.
Steve Milunovich: Thank you. The sequential DMS decline you’re expecting is on the order of 25% which is relatively steep. Could you talk about what factors might be driving that? And then I also wondered if you could talk a bit more about the gross margins being up about 1 point year-over-year and what the factors were there.
Forbes Alexander: Sure, Steve, it’s Forbes here. In terms of the sequential decline on revenue, it’s really all centered around seasonality in the quarter just the way our quarter falls here. So, we've seen seasonality that is a little bit steeper than normal but nothing really with what we thought overall coming in. I think EMS is a little bit weaker than we thought. Last year, our revenues were sequentially consistent, we are seeing a little bit of a more normal seasonality in some of the areas we address there. And then the second part of your question was around gross margin?
Steve Milunovich: Yes. Gross margin was up pretty nicely year-over-year.
Forbes Alexander: Yes, as we had expected, this particular quarter coming in we had laid down capacity and got off to a great start to the fiscal year. Our team is really executing beautifully there and some really high levels of efficiency right through our business in general both DMS and EMS segments and some nice cost controls. So yes the gross margin [eclipsed] [ph] 9% and we look forward to continuing that as we move forward into the future.
Mark Mondello: Hi Steve, this is Mark. One thing I would have you think about is the decline sequentially is as you described. The interesting part is, if you look at our DMS revenue year-on-year, even with the sequential decline I think it’s up about 15% which again is a reflection of the strength of the business and the investments we've made.
Steve Milunovich: Understood. Thank you.
Operator: Your next question comes from the line of Brian Alexander, Raymond James.
Brian Alexander: All right. Thanks. Good afternoon. When I look at the implied revenue growth in the second half of the year per your annual guidance, it suggests about 5% growth second half versus first half. That's well above where you've been last four years. So is all of that above seasonal growth related to EMS and specifically new ramps just trying to understand why well above seasonal in the second half.
A – Mark Mondello: Well, I think if you – Brian, the way I look at it is, I think those numbers are accurate and I’m doing the math in my head quickly. As I said in my prepared remarks, I’d shape out revenue little bit Brian like FY 2015. What I mean by that is - rough numbers, I think first half of 2015 overall revenue was a little over $8.8 billion and we did about $17.9 for the year. So about 49% of our revenue was realized in the first half of 2015 and I think about 48.5%, 49% of our revenue or maybe just over 48%, something like that will be realized first half of 2016 relative to a $20 billion base. So, from a shape standpoint it’s pretty similar to 2015. On the back half much like 2015 as well, I think when we look at our EMS sector, last year our EMS sector was up first half to second half. DMS was down, down slightly. I think this year DMS will be down first half to second half and EMS will be up and it will up quite strong.
Brian Alexander: Yes. That's what I was trying to get at. Maybe I could have asked it a little bit more simply so your EMS growth first half is up about 1.5% year-on-year. So to - I think you are still looking for 5% growth in EMS for the year so obviously you need some big acceleration in the second half but I'm just trying to understand in the context of that acceleration, is most of that new ramps that you touched on in your prepared remarks? Or are you counting on sub in demand improvement as well?
Mark Mondello: For the EMS to turn out?
Brian Alexander: Yes.
Mark Mondello: It's combination of both, but I would say on the EMS side, it's probably a 70/30 split, something like that, so as we sit today we’re still efforting to do 5% growth for the year in EMS, Brian.
Brian Alexander: Okay. All right. Thanks Mark.
Operator: Your next question comes from the line of Sherri Scribner of Deutsche Bank.
Sherri Scribner: Hi. Thank you. I was hoping you could provide a little more detail on some of the strength you are seeing in the EM segments. I know you mentioned a couple of things during the prepared remarks, but is there anything in particular beyond automotive that you would call out that’s driving that strength?
Mark Mondello: Hi, Sherri. So, yes, I think it's – let me start with our EMS businesses, as you know it’s extremely broad. So for the year EMS will be a big business. We’re planning on that to be for the year north of $11 billion and it cuts across a ton of customers and in a number of end markets. In my prepared comments, I touched on automotive. I think there are some good secular trends going on there that I highlighted. The overall, what I would call kind of a digital connectivity market, I highlighted one proof point in my commentary around what’s going on with connected home and I think you can extrapolate that out into some other end markets. And then, I talked about Stack Velocity. So, that’s a new business for us that we’ve started in the last year or so and that’s gaining really good momentum, and that’s really about the aggregation of hardware for cloud solutions. And then, I also highlighted our capital equipment market. And that's really taking what we do at our core and also adding the capability of three acquisitions that we’ve recently made and support the capital equipment, and really it’s around the intricate capital equipment markets in the areas of semi-cap, advance test and industrial. But I didn’t want to get into 10 or 11 proof points in my prepared remarks. We’ve really got a lot of really good things going on cutting across most of that business.
Sherri Scribner: Maybe I could ask – sorry, go ahead Mark.
Mark Mondello: What I was going to say Sherri is, that business when you think about the silos, you’ve got telecom, you got networking, you got storage, you got base stations, you got industrial and then you’ve got a significant number of sub businesses and what we call kind of in our legacy high velocity areas, so again its quite broad.
Sherri Scribner: Okay. That's very helpful. Maybe I could ask a sort of I guess from a broader perspective, it seems like for the EM segment we've heard that telecom and networking is relatively weak and industrial is weak. How much of the recovery in the second half for you is driven by a recovery in some of those traditional markets versus some of the new initiatives that you guys are doing?
Mark Mondello: I think, a lot of it has to do with, I don’t think. Well, let me remain a little bit mute on the market. I think you characterize the market reasonably well. There’s pockets of some reasonable growth from an end market perspective. So I think from that you can conclude that a good portion of it is, is about our approach and the services that we’re providing.
Sherri Scribner: Okay. Thank you, Mark.
Operator: Your next question comes from the line of Mark Delaney of Goldman Sachs.
Mark Delaney: Yes. Good afternoon and thanks very much for taking the questions. The first question I was hoping you could talk about some of the order trends you've been seeing, some of the supply chain has talked about seeing weakness in the handset vertical, recently, and can you just talk about to what extent Jabil has seen any of that and if it's factored into your views for the year even if it's just the linearity of what you expect for revenue?
Mark Mondello: I don’t want to comment on what we’re seeing as far as weakness or not especially in the mobility space. I think we’re pretty entrenched in that market and there’s a lot of speculation, a lot of data and I’d say, we’ve kind of factored all that in to our numbers as we sit today, Mark.
Mark Delaney: Okay. Understood and follow-up question so talk broadly on the DMS segment some of the efforts the Company has underway for diversification and, Mark, you talked about some of the efforts you have going on in the areas like medical and packaging. Maybe just help us understand at this point how much of DMS is driven by handsets and phablets and then how much of revenue is tied to some of these newer opportunities like medical, like packaging, maybe where you are today in terms of percentage of revenue and than what we should think about in terms of revenue mix to those other markets as either exited FY 2016 or longer term?
Mark Mondello: Yes, I’m not going to break that out, I will tell you pretty exciting things going on our business in the healthcare side and the packaging side. The healthcare business is interesting and I think I’d made a couple of comments in my prepared remarks. There’s a lot of disruption going on there. And we’re expanding our healthcare business into kind of looking at it as healthcare and wellness. There’s a lot of advancement going on in the wearable space, a lot of the wearable technologies don’t at clinical levels yet, but I think they’re heading in that way, so there’s a lot of exciting things putting all that together. And again our healthcare business is really well grounded in a couple of different silos from the pharma market to the diagnostics market to the med device market. So, good and interesting things there and I think that there is some good opportunities in healthcare side. And then on packaging, we’re really in the last couple of quarters driven an additional focus on that business with given it a little more independence than it had. And when you think about the packaging market, you’ve got packaging around rigid type devices or packages. You get flexible packaging and then you’ve got a whole area and smarter, intelligent packing. So, all that stuff is pretty interesting to us and we’re pretty bullish on that. As far as the mobility sector, I mean, obviously, mobility is an awfully important part our DMS sector and then we also have life styles and wearables as well. So, all-in-all if I think about the business, we’re taking it from what last year was a little over $7 billion to something quite a bit greater than $8 billion so I’m pretty pleased with that.
Mark Delaney: Thank you very much.
Operator: Your next question comes from the line of Jim Suva of Citi.
Jim Suva: Thank you. And congratulations to you and your team there at Jabil. I had one question for Forbes and one question, probably for Tim. Forbes, I believe in your opening comments you made a comment about an acquisition and if I heard right, it sounded like it was in Israeli company. I am I correct that this is not the Plasticos Castella Company and, if so, how much revenue should we have think about for this acquisition or maybe it's actually the same acquisition and I just misheard the name or something. And then, more for probably Tim or maybe Forbes also, my follow-up question is on the capital allocation plans, kind of long-term strategy for Jabil. How should we think about that going forward? I believe your stock buyback plan has been used up, and I’m sure shareholders appreciate that, but also how should we think about CapEx versus dividend. I think the dividends remain relatively consistent since 2011, yet today the news was that the Fed increased rates today. How should we think about capital allocation? Thank you.
Forbes Alexander: Sure Jim, so the acquisition that I discussed was a company called Shemer. They are based in Israel and this is very distinct from the Plasticos acquisition that we made last quarter. I’ll remind everyone that the Plasticos acquisition is focused around building at our European footprint in the packaging area which is Mark as just said, we’re pretty bullish on. At this particular acquisition brings with it a lot of expertise in highly complex mechanical fabrication and integration of equipment that supports semiconductor space, digital printing and analytical inspection tools. So this is again something that some key initiatives we've had underway over the last year or so helps us to build our solution set to support our customers in that space. Our overall revenue, we’re integrating this, I think on a full year perspective basis initially is, is somewhere around $100 million but certainly we’re looking to grow that well north of that as we move forward with some exciting opportunities there. I'd address the second question as well Jim in terms of capital allocation. You‘re correct our share repurchase authorization had no expire we consume that in our first fiscal quarter and that our thinking today is reiterated our capital equipment expenditures $900 million for the year as midpoint and Mark also talked about $400 million of free cash flow after that CapEx notwithstanding any acquisitions we might undertake. But, as we said about things today we're continuing to focus on growth. You may see us do some modest share repurchase as we move forward to stop any dilution in terms of our share count but as we sit today we’re comfortable with where our dividends is today, we’re comfortable in terms of share repurchase and our key focus right now is around, driving that free cash flow to build into these growth opportunities we see. Selling through '16 and we'll see how ‘17 and ‘18 look as we progress towards second half of '16.
Mark Mondello: Hi, Jim this is Mark.
Jim Suva: Thank you so much for the details.
A – Mark Mondello: Yes, just a comment on that. I think today Forbes articulated it quite well, our priorities are around making really sound investment choices in trying to grow the business. Again year-on-year from ’15 to ’16 and again ’15 was a really good year for us. If we can grow earnings this year north of 20% and then again that’s with – that's on and EPS basis with really modest little to no share buybacks that’s really good authentic growth. And then growing our free cash flow with continuing to invest in the business that's our priorities and then also doing some select acquisitions to continue to expand the capabilities of the business.
Jim Suva: Great. Thanks so much for the details and congratulations to you and your team.
Operator: Your next question comes from the line of Andrew Wong.
Q – Unidentified Analyst: Thanks for taking my questions. First on DMS, I think the operating margins had been in the range of 4% for the past two quarters. So I was wondering if you could give us some color on where the dramatic improvement to 6.7% came from?
Forbes Alexander: Sure. So the improvement really comes from in the back half of last year, we talked about some investments in operating expense as we’re ramping several programs. So very much as expected, so once we get those programs ramp up to volume in the capacity installed, we see that pull through in terms of margin. We saw margins north of six points in the same quarter a year ago, so very typical in terms of when we’re laying down capacity and as we see ramping number of programs. So overall a very, very good result and a little bit stronger than perhaps, initially anticipated just given some great execution by the team.
Q – Unidentified Analyst: Okay. Great. And then, maybe another way of asking about the second half ramp for EMS, maybe you could give us some color on how much of that growth will be coming from new program wins versus growth from existing products?
Mark Mondello: Andrew, it's Mark. Yes as I said earlier, I would characterize that as kind of maybe a 70/30 split. So, maybe 30% coming from new program wins and 70% coming from expansion of share wallet or based off of our existing core business.
Unidentified Analyst: Okay, thanks very much.
Operator: Your next question comes from the line of Amit Daryanani of RBC Capital.
Amit Daryanani: Thanks a lot, good afternoon guys. Two questions from me as well. I guess, Forbes, to start off, when I look at the full-year guide and the expectations in the back half, implies margins, operating margin, will be down somewhere in the 50 to 60 basis points kind of range, back half versus front half I think. Given the fact that you're expecting better than seasonal revenue growth, why do you think margins are on a downtick so heavily? And is that more investments or mix that's driving that downtick?
Forbes Alexander: Yes, sure Amit. Mark referred to some investments in the back half in our DMS. I'll remind you we are in the process of adding additional footprint and capacity that’s very consistent with what we talked about 90 days ago. So that will be build out in June, July timeframe at some investment associated with that and then ultimately the investments associated with bringing off a number of new program ramps where we should start to hit our stride essentially as we move into late in the fourth quarter and into the first fiscal quarter of 2017. So just under a year from now. So that’s why you’re seeing some of that, that margin contraction there, and then we’ll see that bounce back up as we seen in this fiscal year in the first half of the year.
Amit Daryanani: Got it. And are those investments - you said in the fall of this year is when the ramps will happen - is that for DMS or is it the EMS commentary that Mark was talking about?
Forbes Alexander: That’s principally focused around the DMS area. Of course we’re seeing great strength in EMS in the back half of the year, some dollars there but I'll put that as marginal on the fringe. It’s really associated with the scale of ramps and the scale of capacity we’re adding and to support our DMS growth.
Mark Mondello: Hi Amit, just maybe I could help clarify a little bit. So as we’re sitting today, I think our overall CapEx will be in the $800 million to $900 million range as we talked about in September. In fact I think in the September slide deck presentation, we actually gave you guys a breakdown by five or six different line items to be conservative in your models, I would use maybe a $900 million number for CapEx and what I alluded to in my prepared comments again was really talking more about OpEx and the OpEx investment will look similar to the OpEx investments we made in FY 2015, if you consider them as kind of a percent of DMS revenue. And that’s to take care of the preparation all of the engineering work and what not that goes into different product ramps on the DMS programs.
Amit Daryanani: That's really helpful. And, I guess, just as a follow-up, I feel that fiscal '16 revenue expectation, I think last quarter you guys talked about the EMS growing 5%, if I'm not mistaken, and the implication was DMS could be 20% to 22% kind of growth. Do those numbers probably still hold up in terms of the revenue growth for those two segments?
Mark Mondello: Yes they do. 5% on EMS and shade of over 20 on the DMS, yes.
Amit Daryanani: Perfect, thanks and congrats on the quarter guys.
Operator: You next question comes from the line of Steven Fox with Cross Research.
Steven Fox: Thanks. Good afternoon. Just a couple questions for me just-- I know you went through some of the details on the recent Israel acquisition. I was wondering, Mark, if you could sort of give us a sense with the three acquisitions in capital equipment area, what you were trying to accomplish there, broadly speaking, because it seems like it's sort of changed your view of the trajectory of that sort of market going forward compared to a few quarters ago. And then, I had a couple quick cash flow follow-up questions. Thanks.
A –MarkMondello: Yes. So it's really about engineering. It’s really about engineering and technology and it’s about weaving together, it’s been weaving together those technologies Steve and really changing our value proposition on the capital equipment area. So it’s kind of, what I’d consider, intricate automation/motion control, machining and intricacies around mechanics and then adding the capabilities of Shemer to that. So we will see where it goes. Early days, it’s pretty good indication that the market likes what we’ve put together and the value proposition we have around that specific market.
Steven Fox: And then - that's helpful - and then just on the cash flow, Forbes. The cash flow from operations for the quarter - is that about where you thought you were going to come in for the quarter? I guess I was under the impression it might be a little bit better, but I could have been wrong. If not, can you just sort of lay out how you sort of see it going for the rest of the year based on your guidance? And then, just real quick on the $67 million in terms of the cash outflow for acquisitions and intangibles, was that all related to Shemer or was there some other stuff in there? And that's all I had. Thanks.
Forbes Alexander: Sure. So cash flows for the quarter, we did see sequentially expansion in our sales cycle of two days. So that’s about $90 million to $100 million and typically one would model about 4 days. So that’s really tied with the pretty explosive growth sequentially in the quarter. So what we will see is a very big Q2 as those receivables are liquidated as we move through December here and into early January. So we should still be looking at operational cash flows, $1.3 billion, $1.4 billion this fiscal year and as I say, Q2 will be a very strong quarter. Should certainly be well north of $350 million in the fiscal quarter and then we should see that type of level in Q3 and a solid Q4 also. So still very, very comfortable with those types of numbers. You're right in terms of our cash flow statement about 67 million, that’s not all associated with Shemer, majority of it is that was another small tuck-in acquisition that we did in the quarter to support some of these capabilities that we are building out.
Steven Fox: Okay, great. Thank you very much. Enjoy your holidays.
Operator: [Operator Instructions] Your next question comes from the line of Shawn Harrison of Longbow Research.
Shawn Harrison: Hi. Two clarifications. Just on the investments, if I - if memory serves me correctly, it was maybe $60 million last year in terms of the OpEx investments. Is that what you're expecting for the second half of this year? And how does that roll on? Does it all come in the third quarter, or is it spread out during the second half?
A –MarkMondello: Hi Shawn, it’s Mark. Yes, I think last year was probably closer to 65 million, 68 million something like that. I’d consider this year to be more than that just because if you kind of look at the scale of DMS and the size of the business, maybe you could ratio that a little bit by revenue, I think of it that way and I’d think of it. It’s a crapshoot on how it lays in. It will lay in Q3, Q4 but what percentage is for what, it’s hard to tell because it’s a lot of work on a lot of different programs and a lot moving parts. So, kind of, take your guess, maybe – I don’t know, maybe a 60/40 split Q3 to Q4 something like that, but it’s anyone’s guess Shawn.
Shawn Harrison: And does this normalize as you move then beyond 2016? Or is this something that's going to be permanently in place?
Mark Mondello: I guess it depends. It depends on what programs we win and what opportunities we have and if we have the good fortune to make these type of investments, if we can continue to grow earnings. So, it depends.
Shawn Harrison: And the investments are mainly around engineering, or is it just associated personnel to help drive the ramps?
Mark Mondello: It's a combination of all kinds of different engineering, process, automation, et cetera, et cetera.
Shawn Harrison: Okay. And then, as a follow-up question, if my back of the envelope math is right, if you're EMS margin percentage basis is flat quarter-over-quarter, at the midpoint that implies EMS's operating margin is down year-over-year. Is that a correct assumption - I guess the question would be why would it be down year-over-year? Is it just a great - the seasonal decline with the incremental fixed cost investment? Is there something else occurring?
Mark Mondello: So, let me understand the question. Can you ask the question again about - are you talking about Q2?
Shawn Harrison: Solely Q2, Mark. So if I hold the EMS margin flat quarter-over-quarter, at the midpoint of your guidance it implies the DMS margin will be down year-over-year, so holding it at 3% at EMS implies the DMS margins closer to 6%, which would be down 60 basis points year-over-year.
Mark Mondello: Yes. I understand your question. I think for the sake for modeling EMS is going to be a bit softer in Q2, so I wouldn’t hold it flat. I think EMS will be more, I don’t know, 2.5% range, you know 2.7% something like that and that should adjust your DMS model.
Mark Delaney: Perfect. Happy Holidays.
Mark Mondello: Yes. You as well.
Operator: Your next question comes from the line of Sean Hannan of Needham.
Sean Hannan: Thanks for taking my question. This really one here - there are a number of folks, I think, quasi-competitors or within the space that are pretty optimistic on healthcare within 2016 - there's a pretty good cycle of outsourcing and supply chain engagement in recent years and periods. Can you talk a little bit about your views in the subspace and how pronounced it may or may not be relevant to the DMS side of your business? You seem pretty positive on Nypro versus the EMS side of your business. Thanks.
Mark Mondello: Sure, Sean. It's Mark again. I think I hit on little bit this earlier if you’re talking about –if you’re talking specific to healthcare. We have a bullish outlook on it, but I'd caution you up, everybody, not everybody - there’s lot of people racing to that space. It’s a space that’s been disrupted in a lot of different ways. It’s been disrupted at a hospital level. It’s been disrupted with data. It’s been disrupted from a digitization and mobility perspective. It's being disrupted as far as industry consolidation, if you just look at the mega mergers that have taken place. So, if we’re thoughtful about it that disruption can be good for us. And then, what I mentioned earlier is as you take all that and add wellness to that and the lines I think over time may get blurred between what's wellness and what’s truly healthcare if the demarcation line is kind of FDA type of stuff. I don’t know that anybody knows exactly where that will end up, but it’s a market with a kind of lot of leather around it right now, and disruption and we’re very interested in it. If we've got the right solutions I think it will be good for us for the next two, three, four years.
Sean Hannan: Okay, great. Thanks for the feedback. That’s all I have.
Mark Mondello: Have a great holiday.
Sean Hannan: You too.
Operator: And at this time, there are no further audio questions. I would now like to turn the call back over to management for any closing remarks.
Beth Walters: Okay. Thank you very much operator and thank you everyone for joining us on the call today. We will here for rest of this week. I will remind you that we do shutter for the holidays here in our corporate offices. So, if you want to talk to us, get in this week. All right, thank you. Happy Holidays.